Operator: Good day, and thank you for standing by. Welcome to the Nanox Imaging Second Quarter 2025 Earnings Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand it over to your first speaker, Mike Cavanaugh, Investor Relations. Please go ahead.
Mike Cavanaugh:
IR-ICR Westwicke: Good morning, and thank you for joining us today. Earlier today, Nanox Imaging Limited released financial results for the quarter ended June 30, 2025. The release is currently available on the Investors section of the company's website. With me today are Erez Meltzer, Chief Executive Officer and Acting Chairman; and Ran Daniel, Chief Financial Officer. Before we get started, I would like to remind everyone that management will be making statements during this call that include forward-looking statements regarding the company's financial results, research and development, manufacturing and commercialization activities, regulatory process and clinical activities and other matters. These statements are subject to risks, uncertainties and assumptions that are based on management's current expectations as of today and may not be updated in the future. Therefore, these statements should not be relied upon as representing the company's views as of any subsequent date. Factors that may cause such a difference include, but are not limited to, those described in the company's filings with the Securities and Exchange Commission. We will also refer to certain non-GAAP financial measures to provide additional information to investors. A reconciliation of the non-GAAP to GAAP measures is provided with our press release with the primary differences being non-GAAP net loss attributable to ordinary shares, non-GAAP cost of revenue, non-GAAP gross profit, non-GAAP gross profit margin, non-GAAP research and development expenses, non-GAAP sales and marketing expenses, non-GAAP general and administrative expenses and non-GAAP gross loss per share. With that, I'd now like to turn the call over to Erez Meltzer.
Erez I. Meltzer: Thank you, Mike. Good morning, and thank you all for joining our second quarter 2025 call. As we enter the second half of 2025, the entire Nanox team remains focused on disciplined execution and expanding our commercial footprint across our entire ecosystem, including AI and teleradiology solutions as we pursue our vision of making medical imaging more accessible and thereby improving patient outcomes. In line with the commitments outlined during our May 2025 earnings call, we are making steady progress toward our goal of 100 Nanox.ARC systems installations. Expanding our commercial footprint remains a top priority, and our sales team continues to expand the pipeline of qualified leads and successfully convert those leads into systems being shipped to customers. While most leads and new customer activity is now being sourced from the U.S. market, we also continue to expand our network in different countries outside of the U.S., including various European countries such as Romania and Greece on the heels of obtaining the CE mark designation earlier this year. We are well on our way to meeting our target of 100 systems installed or being deployed by year's end. As previously indicated, revenues are expected to grow in the second half of 2025. We are also advancing our clinical strategy on multiple fronts as we seek to strengthen our position as a transformative force in medical imaging. To support this movement, we are acting on multiple fronts, clinical data and publication collaboration with global academic institutes, hands-on clinical education initiatives and expanding our key opinion leaders network. In other words, our commercial rollout involves bringing new technology to the market while also working to change the habits of health care providers. With respect to academic partners, supporting our transformative vision, we seek to partner with organizations that are leaders in medical imaging innovation. A prime example in our collaboration with researchers at Duke University Medical Center, which I'll tell you about later in my prepared remarks. Another example can be found in our recent announcement that Keiser University has established a flagship training and demonstration site, integrating the Nanox.ARC into the radiologic technology graduate program and enabling hands-on education for future imaging professionals. This is particularly exciting as the radiologists of the future are immersed in Nanox.ARC early in their careers. To raise awareness and drive education on the Nanox.ARC systems, we created a clinical education program. The clinical education specialists who run this program play a central role delivering structured customer onboarding and ongoing training through site visits, working with the referral physicians, training the site personnel through webinars and tailored educational plans. We recently launched the Nanox Academy digital platform tailored for our clients, partners and our Nanox network collaborators offering full product sales and clinical online training. Extending our clinical evidence, the ultimate output of these studies are peer-reviewed publications and white papers and academic publications derived from data generated by studies such as those currently being conducted with Shamir and Beilinson Medical Centers. These papers demonstrate the diagnostic potential of our cold cathode tomosynthesis system in imaging, offering a lower radiation cost-effective alternative to CT. Moreover, we are constantly expanding the number of images bank of case studies, which serves to help illustrate the capabilities of the Nanox.ARC system. This growing bank of scans also serves as a useful tool for our sales team when in discussions with imaging centers about the utility of the Nanox.ARC. The final leg of our clinical development platform is our key opinion leaders network. This strategy is evolving into structured segmented model that includes visionary leaders on our advisory board, clinical collaborators and show sites. This approach enable us to amplify our clinical voice, holding seminars and webinars talking about the clinical value in conferences while supporting presales activities and beta testing in targeted specialties such as orthopedic and lung cancer screening. Together, these efforts form a cohesive clinical narrative that supports commercialization, enhance credibility and drives adoption positioning Nanox as a category-defining innovator in low-cost 3D digital radiography. With that said, let's now move ahead to our operational highlights and updates. Turning now to our installation progress in key U.S. markets. I'm happy to report that our pipeline has grown substantially since our last call. We continue to install system in various facilities, primarily stand-alone multi-specialty, small- and medium-sized health clinics. These installations appear to be in line with the industry standard sales cycle. This increase in the sales pipeline is due to our investments in sales development representative initiatives, both internal and external, in order to increase the pipeline and conversion. These efforts are clearly resulting in traction with the medical imaging community and our commercial ramp will remain a primary focus. On another promising note, a growing number of customers with Nanox.ARC units installed are actively referring and scanning patients. Among the notable customers, the Nanox.ARC systems will soon be installed at Keiser University Sarasota campus for training health care professionals, including live demonstrations and incorporation into Keiser University Radiology Technology graduate program. We have also installed units in several imaging chains in California and New York. Of particular note, one of the largest medical imaging chains in the U.S. with hundreds of locations from which we recently generated revenues has completed installation of the ARC and began Nanox.ARC application training for its technicians in the last week of July. This is the final step before patient scanning begins, and we expect this chain to start scanning patients in the third quarter. The chain is also preparing to expand Nanox.ARC deployment to a second site within its network. As many of you are aware, we are supplementing our direct sales efforts via channel partnerships in select markets. And in the U.S. distributor partnerships we announced last quarter with ASI and Swiss Re are both fully completed and are off to good starts. Additionally, we are in advanced negotiation with large distributor and equipment reseller with a presence throughout the U.S. To support these partnerships, we provide comprehensive training and onboarding covering everything from system fundamentals and the clinical positioning to sales processes and contracting workflows. Our goal is to equip our partners with the tools and knowledge they may need to confidentially reengage their networks and promote the Nanox.ARC. As part of our efforts to expand our go-to-market strategy, we are working on developing a future project. Nanox is developing a mobile imaging solution that integrates the Nanox.ARC system into a commercial vehicle. The mobile Nanox.ARC vehicle will serve as a traveling medical imaging center visiting clinics to provide high-quality diagnostic imaging without requiring patients to travel to central hospitals. The goal is to expand access to high-quality imaging, improving patient reach and create new opportunities for service delivery and revenue growth. Turning to our rapidly growing Nanox.AI business. I'd like to share details of several product collaborations that we are working on. First, I'm pleased to announce that Nanox.AI and a leading provider of advanced AI-powered medical imaging solutions are collaborating to integrate Nanox.AI's liver and bone products with a provider's advanced visualization software. This new partnership will allow us to extend the benefits of Nanox.AI to a larger customer base, enhancing our collective offering and providing greater value to our users. Another commercial collaboration I can share is between Nanox.AI and a leading company, which provide an AI-powered health informatics with the aim of empowering breakthroughs in care through imaging. The collaboration leverages advanced AI for operational efficiency and improved clinical outcomes in lung. In another recent example, we have signed an agreement with deepc to incorporate cardiac, bone and liver products onto the deepc platform, and deepc is a multinational company, which markets an infrastructure platform, deepcOS designed to unify diverse radiology AI workflow across the enterprise. Having Nanox.AI solutions integrated within this platform will make our products available on a much larger potential customer base. Another collaboration that I'd like to share today is with CTIS, a leading provider of health informatics solutions with decades of experience partnering with clinical trial and research stakeholders, particularly in support of NIH projects. Nanox.AI and CTIS have joined to force to pursue 2 NIH grants aimed at analyzing gland cancer in young vapes users, which is acknowledged to be a looming health problem in the U.S. Needless to say, it is encouraging that a growing group of AI platform providers recognize the value of our technology and are taking the time to integrate the Nanox.AI solutions into their open architecture platform offering. Furthermore, as previously announced, we have finalized the collaboration between Nanox.AI and Ezra, a leading provider of full- body MRI screening services. Initially, the collaboration included Nanox.AI population health solution integrated to Ezra medical screening processes at 28 imaging center locations across the United States, which feature AI-powered full body MRI and CT scan to screen adults for early detection such as cancer and other serious conditions at their earliest and often most treatable stages. The solution is now integrated into 50 sites with both the number of installations and the volume of scans steadily increasing. To continue our updates for Nanox.AI, I'm pleased to report that the leading academic institution has launched a major collaboration with Nanox.AI, selecting 3 of our advanced artificial intelligence applications to power a new population health clinical study targeting asymptomatic individuals aged 70 and above. These marks another milestone in our ongoing academic collaboration. We continue to partner with leading academic institutions that are leveraging our AI solution. I can also report that we signed an agreement to provide Nanox.AI solution to customers of Radiology Diagnostic Group, RDG, a network of specialized senior radiologists offering rapid expert imaging interpretation, valuable second opinions and detailed explanation of imaging finding. In addition, we recently partnered with a reseller in India to market Nanox.AI solutions, securing 2 pilot projects and positions us to expand our footprint in the region. Moreover, we are strengthening our U.S. presence with the expansion of our service and sales infrastructure to support growing market demand. Turning to deployment and other activities outside of the U.S. We continue to advance along multiple fronts such as key EU market and where we feel that distributor model is an efficient way to make initial inroads into the various nations of the EU. We accelerated our efforts in the EU after Nanox.ARC was granted the CE mark designation under EU MDR standards earlier this year. Our team recently met with our partner in Romania, Medis Imaging, which is a leading medical equipment supplier in the country. It was a highly productive engagement, which included a training session for MEDDIC sales personnel. Next step is to launch the Nanox.ARC in the annual Radiology Congress in Romania with our new partner end of September. The system is ready for shipment for that purpose. This is an exciting step forward in making Nanox innovation and imaging solutions more accessible across Europe and promising start bringing next-generation medical imaging technology to Romania. We are currently working with our local partner in Greece to secure the required import permits and are engaged in advanced discussions with additional potential partners in the region. We will continue to focus on the large EU market and expect that our strong business momentum will continue in many other European countries in 2025 and beyond. In Latin America, we're also pursuing the import license to ship 2 demo units to distributor in Mexico, and I will provide an update when I have something material to share. The company notified the FDA of its intent to submit the TAP2D software module to the FDA through the 510(k) program. TAP2D submission purpose to receive clearance for 2D view image output for Nanox.ARC system, a practical tool for radiologists to enhance their diagnostic confidence as they become more experienced evaluating BTS images. TAP2D, once cleared, will be part of a wider vision held by Nanox to alleviate adjunctive use limitations in the future. Moving on to the clinical work that helps support all of our efforts by generating data supporting the use of our solutions. As I mentioned in my introductory remarks, we have several successes to share today, including our collaboration with Keiser University and our ongoing partnership with Duke University Center for virtual trials. We have mentioned the Duke partnership on previous calls, and I'm now able to share that this collaboration has resulted in the publication of a new paper that has just been published. In collaboration with Dr. Ehsan Samei's team at the Center for Virtual Imaging Trials, CVIT at Duke, we have seen promising results of the potential values of Nanox.ARC digital tomosynthesis, the DTS configuration in handling patient motion as opposed to standard linear configuration DTS system. Patient movement during image acquisition can adversely affect the quality of medical image, and the study shows the benefit that Nanox.ARC configuration has the potential to effectively manage this issue. The study addressed various types of patient motions and showed that the Nanox.ARC configuration is less susceptible to motion- induced artifacts. The data and conclusions of the study have now been published in Biomedical Physics and Engineering Express, making key opinion leaders aware of the value of the Nanox.ARC for sound mounting a common imaging challenge. Earlier, I acknowledge the value of bringing medical imaging experts and key opinion leaders onto the Nanox team. And with that goal in mind, we have recently strengthened our Medical Advisory Board with 2 new additions. Dr. Lawrence Tanenbaum is an active consulting in the medical imaging space. He is a long-term collaborator for the medical imaging industry and continues to chair advisory board for imaging, OEMs, pharma and AI concerns. He has interest in developing applications for AI and machine learning, concert agents, MR, CT and advanced rendering. Dr. Tanenbaum served as Vice President and Chief Technology Officer and Director of Advanced Imaging at RadNet Inc. from 2015 to 2024. Second, George [ Spire ] is a medical imaging executive with over 25 years of global leadership experience. He has held senior roles at [indiscernible] and Philips specializing in imaging technology and digital health transformation. He is an expert in bringing innovation to market and scaling customer-centric tech-driven health care solutions. We are excited to have these talented individuals join the Nanox team as we seek to innovate and change the medical imaging landscape. Our key opinion leader strategy is evolving into a structured segmented model that includes visionary leaders, clinical collaborators and show sites. This approach enable us to amplify our clinical voice while supporting presales activities and beta testing in targeted specialties such as orthopedic and lung cancer screening. Together, these efforts [indiscernible] cohesive clinical narrative that support commercialization, enhanced credibility and driven adoption, positioning Nanox as a category-defining innovator in digital radiology. We continue close collaboration with our OEM partners toward the supply of components needed as our ARC deployment continues. Furthermore, we are seeking partnership with additional providers of unique imaging equipment to develop new and innovative uses of our 3D tomosynthesis technology. Additionally, in Q2, we met with multiple companies across a handful of application areas we believe our technology provides unique and even disruptive technical benefits. These companies were approached based on an exhaustive review of their applications, market position, our perceived product fit and of course, the commercial opportunity potential. Having received several requests for additional data and/or testing results, we are now reviewing, prioritizing and formulating responses outline proposed next steps. New applications and business development efforts take time, but this activity level demonstrates our continuous probing for new use cases and applications for our differentiated imaging technology. I'd also like to follow up on my comments regarding Varex from our last call. We are sourcing glass tubes from Varex for our units as they are more economical than ceramic and advantageous for our application. At this time, I shared that Varex had delivered tubes for use in the newly developed Nanox.ARC and that Nanox has technical staff at Varex facility for validation and training on multiple source demo units. The ARC team in Israel began system integration of Varex tubes into the ARC X earlier this month, and we approached the time to start manufacturing the new ARC X at scale to meet anticipated customer demand. Also, delivery of the first multisource demonstrator from Varex is anticipated later this month. With regard to mass production, we have recently entered into a multiyear Volume Supply Agreement with Fabrinet, a leading global electronics manufacturing services provider to support the scalable production of Nanox.ARC X, Nanox Advanced Medical Imaging. Under this agreement, Fabrinet will provide contract manufacturing services, including assembly, testing, procurement and quality control, ensuring reliable and cost-effective product delivery aligned with [ Nanox.SOURCE ] specification. The long- term agreement will help to ensure stable and high-quality manufacturing as well as flexible production and forecasting to support our anticipated growth. In addition to manufacturing services, Fabrinet will support regulatory compliance, quality assurance and continuous improvement processes to help optimize the efficiency of the manufacturing process. We believe this collaboration will drive down our manufacturing costs over time and strengthen our global supply chain, which will, in turn, support our mission to expand access to innovative, affordable imaging technology worldwide.
Ran Daniel: Thank you, Erez. We reported a GAAP net loss for the second quarter of 2025 of $14.7 million, which is the reported period compared with a net loss of $13.6 million in the second quarter of 2024, which is the comparable period. The increase in net loss was mainly due to the increase of $0.4 million in our gross loss and $1.0 million in our finance expense net, which was mitigated by a decrease of $0.4 million in our operating expenses. Revenue for the reported period was $3.0 million and gross loss was $3.2 million on a GAAP basis. Revenue for the comparable period was $2.7 million and gross loss was $2.9 million on a GAAP basis -- non-GAAP gross loss for the reported period was $0.6 million as compared to a gross loss of $0.2 million in the comparable period, which represents a gross loss margin of approximately 21% on a non-GAAP basis for the reported period as compared to a gross loss margin of 9% on a non-GAAP basis in the comparable period. Revenue from the teleradiology services for the reported period was $2.7 million with a gross profit of $0.5 million on a GAAP basis as compared to revenue of $2.5 million with a gross profit of $0.4 million on a GAAP basis in the comparable period, which represents a gross profit margin of approximately 18% on a GAAP basis for the reported period as compared to 15% on a GAAP basis in the comparable period. Non-GAAP gross profit of the company's teleradiology services for the reported period was $1.0 million as compared to $0.9 million in the comparable period, which represents a gross profit margin of approximately 38% on a non-GAAP basis for the reported period as compared to 37% on a non-GAAP basis in the comparable period. The increase in the company's revenue and gross profit margins from the teleradiology services was mainly attributable to customer retention, increased rates and increased volume of the company's reading services during the weekdays, weekends and night shift. During the reported period, the company generated revenue through the sale and deployment of its imaging systems and OEM services, which amounted to $221,000 for the reported period with a gross loss of $1.7 million on a GAAP basis and non-GAAP basis compared to revenue of $68,000 with a gross loss of $1.3 million on a GAAP basis and non-GAAP basis in the comparable period. The company's revenue from its AI solutions for the reported period was $0.1 million, with a gross loss of $2.0 million on a GAAP basis compared to revenue of $0.1 million with a gross loss of $2.0 million in the comparable period. Non-GAAP gross loss of the company's AI solutions for the reported period was $19,000 compared to a gross profit of $57,000 in the comparable period. Research and development expenses net for the reported and comparable period were $4.8 million, reflecting no change between the period. Nevertheless, there was a decrease of $0.4 million in share-based compensation and $0.3 million in expense related to our development activities, which were mitigated by an increase of $0.3 million in salaries and wages and a decrease of $0.4 million in grants received. Sales and marketing expenses for the reported period were $1.2 million compared to $0.8 million in the comparable period, which represents an increase of $0.4 million, mainly due to increase of $0.3 million in salaries and wages and $0.1 million in marketing activities with connection to the commercialization in the U.S. market. General and administrative expenses for the reported period were $5.1 million compared to $5.9 million in the comparable period. The decrease of $0.8 million was mainly due to a decrease of $0.5 million in share-based compensation, a decrease of $0.5 million in the company's legal expenses and a decrease of $0.2 million in D&O insurance expenses, which was mitigated by an increase of $0.2 million in salaries and wages. Non-GAAP net loss attributable to ordinary shares for the reported period was $10.9 million compared to $8.4 million in the comparable period. The increase of $2.5 million was mainly due to an increase of $0.4 million in non-GAAP gross loss, increase of $1.0 million in the non-GAAP operating expenses, and increase of $1.0 million in non-GAAP financial expenses. Turning to our balance sheet. As of June 30, 2025, we had cash, cash equivalents, restricted deposits and marketable securities of approximately $62.6 million and had $3.3 million in short-term loan from a bank. We ended the quarter with a property and equipment net of $46.1 million. As of June 30, 2025, and December 31, 2024, with approximately 63.9 million and 63.8 million shares outstanding, respectively. With that, I will hand the call back over to Erez.
Erez I. Meltzer: Thank you all for joining us today quarterly call. We appreciate the ongoing support from our investors, which is vital in helping us achieve our vision of making medical imaging more accessible worldwide and improving patient outcomes. Nanox has made progress advancing our Nanox.AI business on multiple fronts and the deployment of the Nanox.ARC system in the second quarter, and we are on pace to meet our target of 100 units in the deployment by year's end with revenues expected in the second half of 2025. We are seeing a growing and increasingly robust manufacturing pipeline, and we are proud to mark a breakthrough in the European market with the first system ready for shipment and working on enlarging our network. By expanding our systems output with a 2D view image, we reaffirm our commitment to continuous product enhancement in line with the evolving market needs. Alongside our commercial efforts, we are executing a robust clinical program designed to product dating supporting the use case of Nanox.ARC technology. We continue to partner with leading academic institutions that are leveraging our AI solution and engaging key opinion leaders who can partner with Nanox to drive behavioral change in the medical imaging sector. I'm proud of our team's diligent execution of our multifaceted growth strategy. If you would like an update call with the team, please contact our Investor Relations partners at ICR Healthcare. Thanks again for your time and attention today, and we look forward to our next update.
Operator: [Operator Instructions] Our first question will come from the line of Ross Osborn from Cantor Fitzgerald.
Ross Everett Osborn: So starting off, how many systems were operating during the quarter that resulted in $221,000 in imaging-related revenue?
Erez I. Meltzer: Can you repeat the question?
Ross Everett Osborn: Yes. How many systems were operating during the quarter, [ meeting ] scans were being performed that resulted in your reported $221,000 in imaging-related revenue?
Erez I. Meltzer: Out of the 100 that we are currently targeting for the end of the year and the more than 60 that we published last time?
Ross Everett Osborn: Yes. So I guess out of those 60 or however many are in the field, how many systems were operating, meaning that patients were being scanned?
Erez I. Meltzer: Okay. So right now, more than 20 are operating and scanning patients. And all the numbers that we gave last time have increased. So the number of operating system, the number of the systems which are being in the process to install, the number of fleets have grown exponentially that we are currently dealing with, namely the deal flow. Right now, as previously indicated, we are -- we can say that the 100 that we are talking about are identified. So we know each one of them, almost each one of them, when it's going to be installed and when it's going to be shipped and start to operate.
Ross Everett Osborn: Okay. That's great to hear. And then looking at those 100 leads, are you expecting any of those to be capital sales? Or should we assume they will all be placed via the MSaaS model?
Erez I. Meltzer: I would say that a part of them will be CapEx.
Ross Everett Osborn: Great. And then lastly, how many states in the United States are you now approved in for users to operate a system?
Erez I. Meltzer: Right now, 8.
Operator: Our next question will come from the line of Scott Henry from AGP.
Scott Robert Henry: I guess, first, a follow-up on the placements of units. Could you talk about the current revenue model? Is it mostly subscriptions versus CapEx in licensing? Just trying to get an idea of how that model has evolved as the launch has continued.
Erez I. Meltzer: Okay. You want to go ahead, Ran?
Ran Daniel: So Scott, as we have discussed in the past, our leading model is the MSaaS model. But as we said also in the past, we are -- we do want to do some CapEx sales. Just to remind you, we said in the past that all the sales in the European countries will be in a CapEx sales model to our distributors. And in the U.S., we expect to be a mixture of CapEx sales and MSaaS model. Some other territories will be probably MSaaS or CapEx sales depends on the traits of the geographics.
Scott Robert Henry: Okay. Great. On -- just looking at the quarterly revenues, the AI solutions line, it moves around a lot, and the numbers are pretty small. But I'm just -- that would be the 96,000 reported in 2Q. Could you give us a sense of where that number should go going forward? I mean, should we start to see more trends evolve as opposed to kind of a lot of volatility in it currently?
Erez I. Meltzer: The answer is yes. From the AI point of view, we have indicated already that 2026 will be breakeven in terms of revenues and expenses of the AI. We see a continuous growth in almost each one of the places that they are located, the system. Bear in mind that with respect to the AI, we have a lot of -- we have a lot of impact coming from the revenue recognition policy. So although, for example, we do install the systems, we get annual payments right now. So from a cash flow point of view, we are by far more than the number that you see in the quarter. And the other thing that should be noticed is the fact that, for example, Ezra Medical, the one that was mentioned last time and this time as well, is growing exponentially in terms of the numbers. And this is going to be part of the really growing activities that we see, the B2B2C. And we have a similar agreement that we announced today that was signed that is going to be, from our point of view, even double than the revenues, which will be generated from Ezra Medical. With respect to the OEM, it's basically -- it's when it comes, we register and only when we ship the numbers. So I think that the 2026 will probably be more of an indication of the numbers that will show the growth that we're talking about in the agreements that we signed.
Scott Robert Henry: Okay. Great. And then just quickly on operating expenses. Any trends we should expect? I mean it's been pretty consistent around that kind of $11 million to $12 million a quarter range. Should we expect that to continue going forward? And I guess it's probably the 2026 time frame as well. When would you expect to start seeing the quarterly losses start to decline? I know it's an expensive business model, but at some point, you reach that inflection where the revenues start to outweigh the cost. Just trying to get an idea of when that is. Sorry, there's 2 questions in there.
Ran Daniel: Yes. So with regards to the OpEx itself, you see there it's correct that it's maintaining the same level in the past few quarters, and that comes from more efficiencies and more measurements that we do to maintain the level of the expenses and to keep our brand to the minimum. On the other hand, you see an increase of our sales and marketing expenses as a result of the deployment in the U.S. market and the increase in our sales and marketing activities. All in all, we -- it's a trade-off. Once we increase in one place, we do decrease in one place, and we're trying to maintain the same level of expenses. And as we have said before and in the past, once you see, especially in the second half of this year and going forward, when you're going to see the revenue alleviating, then you should see a decrease in the operating loss and the burn, et cetera.
Operator: Our next question come from the line of Jeffrey Cohen from Ladenburg.
Jeffrey Scott Cohen: Firstly, could you talk about studies and submittals and publications and presentations in the back half of the year, specifically around RSNA and your activities headed into RSNA?
Erez I. Meltzer: So towards the RSNA, we have -- we're going to submit -- we have submitted already. Actually, we will present the full Nanox end- to-end solution and the high-profile industry event in the first time that we're going to be there. We are going to present the ARC X, including -- we are going to show the first installation of the first AI interpretation on the -- as part of the ARC X systems. And we are planning to -- we have submitted one clinical paper that is going to be on the MSK. I mentioned it to you earlier in the in the -- and when we are -- I was talking about a few minutes ago in the earnings prepared remarks. And we are going to present at the AI theater. We're going to have a presentation made by our Chief Medical Officer, and we are going to include our key opinion leaders that will talk in various stages during the show, especially Dr. Tanenbaum and [Technical Difficulty]. Jeff?
Jeffrey Scott Cohen: Yes. Okay. Sorry, I'll just lost you there for a second. So -- and as a follow-up there, could you talk about geographies specifically as far as both ARC placements as well as the AI solutions into the balance of this year and throughout perhaps '26 and '27 as far as countries and regions of geographical presence where we expect some nice uptake?
Erez I. Meltzer: Okay. So first of all, we have indicated today in my remarks that the focus will be in the U.S., both for the AI and for the ARC as well. And this will be a major part of our efforts, including the number of people that are going to be dedicated to the sales and marketing efforts. In addition, we are planning to focus on the EU countries. Right now, we have in our list approximately 8 countries. A few of them already signed and a few of them are in the process of being signed very shortly. We are very proud about the fact that less than half a year from the CE marks, the first system is going to be sent to Europe and installed in Romania at our distributor. Next probably in the line will be Greece. We are talking about a few like 3 or 4 countries in Europe. And this will be the second part. In addition, we are going to spend or dedicate efforts, including salespeople and the channel managers, people that will focus on Mexico. Mexico is the country that we have already an agreement for quite some time, but the permit, the import license and the local certification takes time. The system is -- we are talking about a few systems that will be sent to Mexico. They are ready to be shipped. We are waiting for the permit in the very near future. We are negotiating right now for another few countries in Latin America that will be part of it. The one thing that I'm saying is that right now, the Far East is going -- is not going to be the first priority, although we have already a distributor that is working on the license in Korea, but the rest will wait. We are not going to focus or spend a lot of time on Africa right now until we get more clarity on the economy situation of the countries that we are working with. But in terms of the AI that you asked, right now, U.S. is the primary market. Europe is second and Latin America is third. Although we have also -- we mentioned that we have already 2 pilots in India. We have one system already installed in Thailand, and this is in addition to what we say. In terms of the OEM, basically, we are working on an international basis. We have one customer in Europe, one big customer and one big customer in the U.S., also in Israel that we have. One other market that I didn't mention, but it's part of the efforts is Israel. We have all the systems in Israel are installed in hospitals. And -- and right now, we are planning to install a few of the AI systems similar to the one that we have with Ezra Medical in Israel as well. Sorry for the long answer, but the detailed one. The one thing that I would say, Jeff, is basically from the call, what you can see is that we are really playing across the whole court with the business development in the workers' comp, in the mobile units that we are talking about the future. And from our point of view, there are no shortcuts. We go step by step one after the other. We are really changing the standard of care. And therefore, it's very organized. It's widespread in terms of the areas that we're focused on. And we see the results of the way that we operate this step- by-step and no shortcuts, we see the results that are coming time after the other, quarter after quarter, we see the results, especially the efforts that we're making on the clinical side that I was talking about, I elaborated today quite a bit because when you want to change the standard of care, you have to dedicate a lot of time to brand awareness to clinical education, to referring physicians to explain the -- everything which relates to what's the value, what's the clinical value that you bring to the market and to the customers, and we see the results of it.
Operator: And with that, this concludes the question-and-answer session. Thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone, have a great day.